Operator: Good day and thank you for standing by. Welcome to the Sientra's Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Oliver Bennett, General Council and Chief Compliance Officer. Please go ahead.
Oliver Bennett: Thanks operator. Good afternoon and welcome to the Sientra second quarter 2021 earnings call. I would like to remind everyone that in our remarks today, we will include statements that are considered forward-looking statements within the meaning of United States security laws. In addition, management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current assumptions and expectations of future events and trends which may affect the company's business, strategy, operations, or financial performance. A detailed discussion of the risks and uncertainties that the company faces is contained in its previously filed annual and quarterly reports on Form 10-K and 10-Q and its quarterly report on Form 10-Q that the company filed this afternoon. Actual results may differ materially from those expressed in or implied by the forward-looking statements. The company undertakes no obligation to update or review any estimate, projection, or forward-looking statement. I would also like to note that Sientra uses its Investor Relations website to publish important information about the company, including information that may be deemed material to investors. Financial and other information about Sientra is routinely posted and is accessible on the company's Investor Relations website at www.sientra.com. Today on our call we have Ron Menezes, Sientra's President and Chief Executive Officer; and Valerie Miller, Vice President, Corporate Controller, and Interim Chief Financial Officer. I will now turn the call over to Ron Menezes, Sientra's President and Chief Executive Officer. Ron?
Ron Menezes: Thanks Ollie and thank you all for joining us today for our second quarter 2021 earnings call. Let's begin by welcoming Andy Schmidt, our new Chief Financial Officer. Andy joined us last month and has already hit the ground running assessing our financial performance. Later, you'll have an opportunity to hear from him on how Sientra is in great financial position to support a rapid growth. On the call today, I'd like to share some of the highlights of our recent progress and why we're very excited about where Sientra is headed. Once again, Sientra has delivered outstanding results in the second quarter, which includes record revenue of $20.1 million from our Breast Products business reflecting year-over-year growth of 116%. We're especially encouraged about increased acceleration of our sequential growth that resulted in almost 10% improvement over the first quarter of 2021, nearly 80% growth of our pre-COVID levels in the second quarter of 2019. We estimate the overall breast augmentation market to have grown 1.5% in the second quarter 2021 compared to second quarter 2019 and it is encouraging to see market recovery and demand for breast aesthetics start to surpass pre-COVID levels. More importantly, it is exciting to see revenue from our augmentation business significantly outpacing the market, increasing a 142% in second quarter 2021 versus second quarter 2020 and 121% versus second quarter 2019. This results clearly demonstrate that we are making notable progress towards our goal of being a top-2 implant and extender company in two years by taking sizable market share. Following the successful closing of the sale of our miraDry business, Sientra is now only focused on the plastic surgery market enabling us to channel all of our resources into one dynamic and rapidly growing sector of aesthetics. This focus is reflected in our results with our commercial execution and the second quarter generating the highest breast product revenue in the company history. Additional commercial execution includes an increase in our sales rep productivity. Our sales rep territory revenue grew 25% in the first half of 2021 and we're seeing this trend continue to improve as of the end of the second half of this year. As you know, our business today is focused on two primary plastic surgery markets, breast augmentation and breast reconstruction. Augmentation is our primary growth driver today leveraging a very strong market. We'll continue to build on our strong momentum from the first quarter with key high growth strategies extended through Q2 that are demonstrating traction, substantially outperforming market growth as I noted earlier. The number of accounts reached the highest level in Sientra's history growing 13% over Q1 2021 to a new base of over 2400 accounts. However, most of our growth continues to come from existing accounts, demonstrating our ability to drive sustainable growth through execution of our commercial strategies. During the second quarter, our mid-to-high-tier accounts which drove nearly 50% of our volume in the quarter grew almost 200% versus second quarter 2019 and 170% versus second quarter 2020. As part of our strategy to get patients to ask for Sientra by name we have been very successful for digital patient acquisition which has referred over 10,000 patients to plastic surgeons practice year-to-date. In Q1 we referred over 30,000 patients to surgeons and in the past quarter were nearly doubled that number to over 6000 referrals. In a recent survey with 150 potential breast aug patients, Sientra brand recognition has gone up from 16% to 22% versus last year's data, putting us in the number two position among all brands in the surveyed patients. Those patients heard about Sientra from surgeons, friends or family and our company website. We also expect our physician loyalty program to increase repeat purchases and extend market share in current accounts. Now turning to our reconstruction business, our industry leading product advantages in this space continue to be recognized and appreciated by surgeons, hospital and patients. This past quarter we added more than 140 new hospital accounts and our recon revenue was 61% higher than Q2 2019 and 100% higher than second quarter 2020. In addition, as we had announced last quarter, we are leveraging the Butterfly Ultrasound devices to gain new accounts. This partnership is proving to be an advantage or a competition for our reconstruction clinical managers to get new contracts for local hospitals. Now looking at the second half of this year, we're excited because we see a strong augmentation market. Our survey of the 150 potential patients uncovered the breast augmentation in the top three aesthetic procedures where they are choosing to spend money. As a matter of fact, 75% of them are thinking about getting breast aug within the next 12 months, reinforcing the rebound of the market. And during our most recent surgeon interactions, they have highlighted that despite complication plans many of them are booked for surgeries well into the fourth quarter. And Sientra will continue to fuel this momentum in the second half through a range of initiatives that include continued improvement on our surgeon loyalty program by adding additional benefits and incentives to grow volunteers. We're going to be partnering with patient influencers to expand our reach with real world stories that reinforce our position of safety, trust and differentiation. We plan to increase our digital presence to generate more brand awareness and interest and we will launching the Sientra Academy training to guide the patients path to the surgeons' office and booking a procedure. We will also be adding additional support in the reconstruction business to highlight our products clinical advantage. We will be increasing our peer-to-peer education as physicians are once again participating in live events and we'll be starting digital and social outreach targeting surgeons and hospital decision makers. Before I turn the call over to Andy to cover our financial results in more detail, I want to highlight the addition of three dynamic women to the Sientra leadership team. In June, Denise Dajles joined us a Vice President of Research and Development. Denise has already begun making exciting contributions to our product pipeline and we look forward to sharing more of those plans later this year. In addition we recently added Dr. Irina Erenburg and Nori Ebersole to our Board of Directors. We expect that their experience in medical aesthetics will prove invaluable as we continue to take share in the overall breast products market. Adding greater diversity to our organization continues to be a critical objective for Sientra. We are proud that half of our Board of Directors and half of our executive leaders are female, which is a competitive advantage for our company as we continue to focus on becoming the leaders who are bringing transformative treatments to progress to autoplastic surgery. I'll now turn the call over to Andy for a more detailed review of our second quarter financial results. Andy?
Andy Schmidt: Thanks Ron. First, I'd like to note how pleased I am to be representing Sientra as the new CFO. From my perspective, fiscal 2021 has been a solid rebound year for the company's commercial operations, but more importantly, the work that has been accomplished during the first half of 2021 sets the stage for a great second half of the year and a great fiscal 2022. Our current period financial results showcase not only an improving business model, but also critical structural changes at the company. Before I dive into the financial results, let me address a key structural accounting item that is represented in our current period operating results. Due to the sale of our miraDry business during Q2, we are reporting the miraDry business as discontinued operations. Going forward then, we will no longer be breaking out our breast products business, which comprises our breast implants, tissue expanders and BIOCORNEUM products and we will be reporting in the operating results for Sientra as a whole. This is a great transition as our current period and comparative continuing operations results and presentation now represents the company as a pure play in the plastic surgery space. Similarly, we no longer have a need to segment our financial results creating a very clear presentation of our go forward business model. Shifting to our Q2 2021 financial results, as Ron noted, Q2 is a record revenue quarter for Sientra. Sientra posted breast product revenues of $20.1 million which is up 116% as compared to Q2 2020 and up 9.8% from Q1 2021. As Ron has covered the critical revenue market drivers, I'll move forward to gross margins. Gross margin for Q2 2021 was 56%, that compares to 56.5% for Q2 2020 and 55.4% for Q1 2021. As the company has previously communicated, we have a clear line of sight to upper 50s gross margins. The key driver to gross margins is product and channel mix. As Ron also discussed, our current quarter showcased great performance from our augmentation business. Given the timing of the overall industry recovery from COVID shutdowns we are not yet at overall expected mix between augmentation and reconstruction procedures. Similarly, while difficult to forecast the timing of the recon market recovery, we feel that we have not lost sales due to the COVID shutdowns, but are experiencing a deferred sales dynamic. A further comment on our confidence in our gross margin opportunity is that the company utilizes a standard costing methodology. As such, gains in productivity are not realized immediately, rather they are capitalized and amortized over future periods. Sientra is sitting on a significant positive cost variance that will be realized over the next three quarters. Additionally, we added to our positive variance this period which is indicative of continued productivity gains in our Franklin manufacturing facility. Continued production improvements in our 2021 relocation of our distribution center from Santa Barbara to Franklin, Wisconsin likewise creates future efficiency opportunities. Switching to operating expense. Total operating expense for Q2 ’21 was $20.4 million as compared to $14.5 million in Q2 of ’20. The primary increase in expense was due to sales and marketing which represented $5 million of the $5.9 million increase. This increase is as expected as the company has invested in our go-to-market assets that capitalize on the reopening of the economy and the future market opportunity that lies ahead. Our 2020 sales and marketing expense was curtailed due to COVID shutdowns and we have now resumed planned revenue growth initiatives. As compared to Q1 ’21 operating expense decreased $1.5 million from $21.9 million as a result of reduced sales expenses, which have a variable cost component. Total GAAP loss from continuing operations for the current period was $18.5 million or $0.32 cents per share. However, this includes a non-cash charge of $7.3 million related to the derivative accounting treatment associated with our convertible debt instrument. Adjusted EBITDA for Q2 ’21 which we believe is a more accurate reflection of the company’s performance due to these non-cash items was a $5.5 million loss or $0.9 per share as compared to a $6.7 million loss or $0.13 per share for Q2 ’20 and an 18% improvement. Switching to key balance sheet items. We ended the June 30, 2021 period with a cash balance of $82.4 million. This compares to a balance of $55 million at December 31, 2020. The net increase of cash is due to our Q1 ’21 capital raise and other finance activities that netted $34.4 million in cash this year. Year-to-date cash used in operations was $15.1 million. However, $8.7 million of that amount was attributed to an increase in accounts receivables due to increase in 2021 sales and an increase in inventories to address future market demand. Finally, the sale of miraDry resulted in an inflow of $11.3 million during the period which was partially offset by a $7 million milestone payment from our initial purchase of miraDry. Total debt at June 30, 2021 was $82.7 million and total outstanding shares were $57.9 million. This debt consists of our convertible note and term loans, as well as the company’s Paycheck Protection Plan loan of $6.6 million for which the company applied for full forgiveness during the second quarter. I'm very pleased to report that at the time of this call the company has received approval for full forgiveness of the $6.6 million loan. Our Q3 2021 results will recognize the full PPP loan forgiveness. Turning to guidance for 2021, we are raising our guidance to expect revenue in a range of $74 million to $78 million, reflecting growth of 34% to 41% compared to sales of $55.4 million in 2020. This guidance does not include revenue from our discontinued operations. We continue to expect 2021 annual operating expenses to be in the range of $85 to $90 million. Finally, in terms of housekeeping, we will be filing our Q2 2021 Form 10-Q today. And now Ron, our controller Valerie Miller, and I would like to open up the call for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Jon Block with Stifel. Your line is now open.
Jonathan Block: Great, thanks guys, and good afternoon. Maybe the first one on any embedded in the guidance, you are talking about the momentum ongoing with an augmentation, maybe we can just talk about what the expectations are for the recon market? Last quarter you talked about it accelerating in the third quarter or fourth quarter, expecting to accelerate in 3Q and 4Q, and anything to call out around the Delta variant in certain markets like Florida or maybe you are maybe tempering thoughts around recon in the back part of the year? Thanks.
A – Ron Menezes: Thanks Jon. It is going to be a very regional issue, very unlike probably a lot of part of 2020 that impacted every state. In this case, yes you said Florida. We are still -- we're still overseeing a very strong California, we're strong in the northeast and Texas as well. So, Florida is the one we heard maybe one hospital closing down, not all hospitals, so that is our expectation. We -- as part of the guidance you have a range of 74 to 78, if things are not back as we expect maybe in the low end. If things accelerate as this is a different environment with vaccinations out there, increased vaccination coming up, so that we are keeping that range. We are very confident of that range though even with what maybe be happening in a next couple of months.
Jonathan Block: Okay, that’s great. And then maybe I'll stick to two questions, but I'll make this one two parts. So, the pipeline Ron, anything to call out on your progress with the agency on the next-gen tissue expander or additional markets like Canada etcetera? And then Andy, maybe for you, you commented on gross margins which beat us in the quarter. You also talked about a really good line of sight to the high 50s. I just wanted to be clear, is that high 50% range is early as the back half of 2021 or was that some commentary into the early part of 2022? Thanks for your time guys.
Ron Menezes: Jon, with regards to the pipeline we are progressing well with AlloX2 Pro. It's continuing to move forward. We still have expectations submission before the end of the year 2022 launch. In regards to Health Canada, we are in negotiations discussions with Health Canada. We are hoping for a late ’21 approval and then like I stated before, this will be a 2022 launch in Health Canada.
Andy Schimdt : Sure, and just commenting on the gross margin dynamic you know the key again is going to be mix. And as we look to this current period, we are heavily skewed for us in terms of augmentation versus recon. If that mix stays identical, then we'll be picking let’s say one point a quarter and that’s just basically from accounting amortization of the gains that we've already received. Again, if that mix actually moves more towards our expectation between aug and reconm, at that point then gross margins will move to the upper 50s in a faster manner. But gain it should be incremental. Again the other side of the equation is, for whatever reason aug is even a bigger piece of the overall mix in the next period or two due to what Ron has been talking about in the Recon market, well then maybe it’s going to be 55, 56. So, it’s going to be quarter to quarter, but at some point we're going to get at that product mix that’s expected and be definitely upper 50s.
Jonathan Block: Great, thanks guys.
Operator: Thank you. Our next question comes from Alex Nowak with Craig-Hallum. Your line is now open.
Alexander Nowak: Great, good afternoon everyone. Following up on the pipeline question, maybe expand on that on items that you would expect to detail later this year, because where else could you go within the breast space? What other products would you add on top of that? And then going breast, what other solutions here could you bring to the plastic surgeons? Thanks.
Ron Menezes: Thanks, Alex. Yes, we're looking from organic perspective additional products and obviously we discussed in the past large sizes and missing skews that we need to be in the market. So those are the things we are looking at right now. We are also looking at areas that enhances our commercial team mobility and presence in the plastic surgery. And those are things that I can't get into specifics, but they are related right now to breast augmentation and reconstruction. We are looking for opportunistic products within plastic surgery, but is not our focus right now in the six to 12 months, we're still very focussed on our core business and that's something we're going to be looking at in 2022 and that's some of the things that Denise will be discussing when we do an R&D Day. Right now big focus is still our core business in filling the gaps or products we may not have existing all of our products right now.
Alexander Nowak: Yes, understood, that makes sense. And then just -- another question for Andy on the cost side. We've had a couple of weeks now to understand the cost structure, where else do you see cost of goods reduction initiatives, and potentially on the OpEx side as well, going out more so in 2022, where else can you take costs out of the system? And then how are you thinking about the OpEx spend into 2022?
Andy Schmidt: Sure, so let's talk COGS first. Again, we expect continued efficiencies out of our Franklin site, but just this period that we're in right now, we just finished relocating our distribution center from Santa Barbara to Wisconsin. Just that single move saves near $1 million in shipping costs where previously we had to ship finished goods from Wisconsin to Santa Barbara and then to points beyond. So that's great Olympics just comes right straight to the bottom right away. The other part is, now we're going to be centrally located in Wisconsin, and we have an opportunity to reduce outbound expense which actually hits down the sales and marketing line which gets down into operating expense. Kind of adding to that, the way I look at it is, the company is going through quite a bit of work in terms of getting a level set as being a pure play in the plastic surgery space, and that takes many forms. One such form is, the company used to work on three different ERP systems. So that created a great deal of inefficiency and we just finished the final migration to one ERP system, which then should create some more opportunity. Likewise, we are now a pure play, so we're not focused on multiple businesses. So when we look at the back end, more again in operating expense, we should be looking for efficiencies, and what that means in order to support this business.
Alexander Nowak: That's great. I appreciate that, thank you.
Operator: Thank you. And our next question comes from Margaret Kaczor with William Blair. Your line is now open.
Margaret Kaczor: Hey guys, good afternoon. Thanks for taking the questions. I am going to start a little bit with guidance, so I can get a better sense of what's being implied and correct me if I'm wrong, but it looks like maybe you're assuming a bit of a deceleration or down sequential in kind of the second half of the year, so all of these maybe passing through the pill, so I was curious if you could break that down by aug, recon or some of the other things, whether it's Japan or otherwise and whether you're assuming impact of Delta in those numbers at this point?
Ron Menezes: Hey Margaret I'll start and I'll hand over to Andy, but yes, remember as we are comparing now to a robust Q3, Q4 of 2020, and when you compare those numbers obviously, it's no longer comparing to the second quarter. But we are assuming seasonality for augmentation in the third quarter. I did state that talking to surgeons, they're busy, they are booked into fourth quarter. At the same time they're all taking vacation, or been taking vacation the last two or three four weeks, which didn't happen the third quarter. So that's why you see that little slowdown. From recon from our side, we expect to come back. We expect to build slowly and I did share in the past, it's a slow build. We did add 140 new accounts. We're still seeing robust hospitals coming on board due to our tissue expander, but this whole thing takes four to six months as we bring new accounts, because there are some parts of the country to have a little slowdown, such as Florida and Louisiana, Mississippi, then you're going to have that slowdown. So that's where we're thinking, but we're very comfortable in that range of 74 to 78.
Andy Schmidt: Sure, I'm just going to add to what Ron said, we're actually very bullish on the second half here. I think one of the key messages is even though our checks are showing again, plastic surgeons are really focused on bringing this year back considering last year everyone had a down year in the whole ecosystem. They're very motivated to let's say take shorter vacations or what have you, but we still expect them to take vacations. They're significantly backlogged in a positive way, so that we expect to have continuing demand from the market. But Q2, excuse me Q3, should show a little bit of seasonality, and all that really means is, the second half of the year is going to be very solid, and we believe the two quarters together are going to hit the numbers that we need to hit. Q3 is going to compare well year-over-year. It's going to be positive, but Q3 is arguably is in a normal seasonality space, it's going to be a little less than Q2 and then rebounce back in a hard robust Q4, so that's our expectation in terms of the market. Again, it can surprise us and it just keep driving without that seasonality, but the message is, the second half is going to be strong, but let's assume some seasonality in Q3 as expected, and then Q4 again, very strong traditionally a quarter. So again overall [indiscernible], again, whether it comes from the recon space coming back or the Aug space continuing to charge hard, we have many different levers that we think are going to be pulled.
Margaret Kaczor: Okay, that's very helpful. And I'll slide in two things that [indiscernible] for the second follow up, first is the true follow up on the first question, so if I'm understanding correctly, you would apply a little bit more than traditional seasonality in the third quarter. So could we see something that's kind of down double-digits and then like you said, we're going back into Q4 as folks come back? And then the second question I had was, really just longer term right, so as you go into 2022 there's two underlying dynamics, you've got the current COVID recovery, and then you've got the investments you guys are making strategically long term. Now, functionally from the numbers, it doesn't look like COVID really impacted you that much. We've heard Ron's comments upfront, but Andy you did talk about some delays maybe due to some of those strategic investments. So I'm curious what those investments were, how material can that be, and what does that mean for 2022? Thanks guys.
Ron Menezes: Yes, I would say, Maggie I'll start and I'll move it over to Andy. So there is no delay in strategic investment. We are part of commitment to bring Denise on board is to think about the future. We're doing, I think the story of this year for Sientra is all about execution in 2021, and how the marketing team took a fantastic group of strategies, the sales team took that and executed. And now we'll be transitioned with Denise coming aboard about what products, what missing areas we have? How do we enhance the products we have for 2022 and 2023? So there is no slow down. And as we discussed in the past, our commitment is to invest more this year, next year into three key areas; one commercial, two R&D, three manufacturing. We plan to keep OpEx kind of flattish for next year, but those three areas we will grow, so no plans to slow down there. So, Andy?
Andy Schmidt: Sure, just adding, I am just making sure I was not being confusing here. Q3 last year, as Ron said, Q3 and Q4 were recovery quarters. Q3 last year for Breast Products was $15.3 million. We expect to perform very favorably to that number. Again, will it be $20.1 or $20.2 again this year, as we did this quarter, possibly not. But it's going to be a very positive number, and the key is the second half is going to perform very strongly, overall. So again, we're expecting in the market to perform in a manner, we've got the right inventory, we've got the right sales force out there. We've got the great recurring orders as Ron talked to in his prepared remarks. We've got everything in place from that perspective and we put the investment in, and that's why you see sales and marketing kind of jumping up to $10.4 million this period versus $5.4 million last year. That's a real significant commitment in terms of our belief in the market, and what we can do and we think we're executing very well, again what this market is offering us.
Margaret Kaczor: Thank you.
Operator: Our next question comes from Richard Newitter from SVB Leerink. Your line is now open.
Jaime Morgan: Hi, this is Jamie on for Rich, thanks for taking my question. I guess I wanted to start, you highlighted the mid to high gear accounts are driving 50% of the volume in 2Q. Could you just remind us how that's trended over the past one to two quarters and where you see that mix settling out over the coming quarters?
Ron Menezes: Yes, we kind of went through a new way of setting up the account, so we set up a certain level of dollars so we have Tier A, Tier B and Tier C and D different dollar amounts and we'll get into due details of the dollar amounts. What is amazing is that in the Tier A which is our highest volume accounts, those are really to drive probably about 30% overall business. Just to keep in mind in the first, like the second quarter of 2020, we had 19 accounts. We have now 50 of those accounts. And the next year with this combined with A, B and Tier that drive almost 50% overall volume back in the second quarter last year, we have 32 accounts, we almost have 90 accounts. So we're seeing an acceleration of mid Tier accounts into the high volume driving accounts, which goes back to expanding our market share, So we are expanding our share on existing accounts. We're very proud is that same-store sales those accounts being with us for more than six months. They have ordered, those are on board for the last six months, 65% of them order in this quarter. So we've seen improvement of those accounts ordering of two quarters later and that's why you see the high volume coming from the mid-to-high Tier accounts. So that's what we're seeing and right now the growth being driven by that. Now we are adding a lot of new accounts, but those accounts are usually low volume to begin with, eventually they may become high volume.
Jaime Morgan: Got it, that's helpful and then just, could you kind of provide any color on just how the tissue expander business performed in the quarter and you guys are talking about your expectations between Augmentation and Breast Reconstruction business in the context of gross margins, could you just give us a sense of where, what the mix is now and really where you see that settling out over the longer term? Thank you.
Ron Menezes: Yes, because now it's 62% of our business is the breast augmentation that in the past was about 52 to 55, obviously has impacted our recon business and our AlloX2 tissue expander drives our penetration of hospitals. We've seen some lower sales than we won it, but that's part of what we expect in the second quarter as hospitals are coming online. And that's why, for the second half we put some extra incentives for our sales team and our marketing team to drive our tissue expanders, specifically, not just implants in hospitals, keep in mind in the hospitals is both implants and have done very, very well in tissue expanders in those hospitals. So we put some extra incentives. We developed some new strategies and the marketing teams already rolled out. The other reps came out for a meeting last week, in Chicago, and there's additional things to drive the tissue expanders and that really helps them generate additional sales. A lot of times we've seen is great hospitals coming on board, and then the rep is so focused on the new accounts. We need them to go back to those existing accounts in the hospital, and drive further share in those hospitals.
Andy Schmidt: Sure, and just adding what Ron said in terms of why we're so excited about that market, from a finance perspective it's a more homogenous or restructured market and so from just basic pricing and cost of goods sold, it's a market that can perform 5% to 10% higher in terms of gross margin than the odd market, and again it's just basically the nature of the customer set. So again very important market for us and we think we're really well positioned to answer demand when they actually get back fully on top.
Jaime Morgan: That's helpful. Thank you so much for the color.
Operator: Thank you. And our next question comes from Anthony Vendetti with Maxim Group. Your line is open.
Anthony Vendetti: Thank you. Yes, just a quick question. On the referrals, you mention something about generating, there was a 10,000 referrals to plastic surgeons, how are those referrals generated, and when they are generated, what's the revenue if you can tell the conversion into an actual appointment and then and then an actual procedure, whether that's within. I don't know how you measure it, if it's within 6 months or within 12 months.
Ron Menezes: And Anthony, how you're doing? So what do reach or where we can see is, who made phone calls, who searched on the -- who went to the physicians or surgeons website, who actually searched the location of that surgeon. What we don't see is that surgeons' appointment. Some have to fill out a form, but that a lot of times they fill out a form with the surgeon. We have had conversations with surgeons who have told us, they have had several individuals calling their office and let him know that they're and Sientra referred them, et cetera. What we found is, a lot of those surgeons' website needs a little bit work, and we also found is, a lot of the office staff need help in retaining and capturing those prospective patients. So we rolled out our first Sientra Academy, that was two weeks ago, and we had a pilot program with 10 surgeons and their staff. The idea for the Sientra Academy from the surgeons side, they're going to be learning new techniques, new skills from well known surgeons. From the staff, they could to be learning from well known individuals that do marketing, and retain prospective customers into our website, how to retain them, how to flip that customer, how to answer phone calls, how to ask the right questions, et cetera. We were very impressed because that was a pilot program, and we received 10/10 across a lot of the survey of a majority of them, because it was so helpful for them for their practice. Because remember they are surgeons, they are experts in their skill set and the staff, it doesn't have, a lot of times they don't have a marketing site. Some of the big accounts or some of the big offices do have a marketing site, but a large majority do not. So we're trying to help them keep or retain those referrals. But we are actually seeing, people ask me what do you think is driving a lot of our growth? It's a combination of many factors including referrals to surgeons to ask Sientra by name.
Anthony Vendetti: Okay, that's helpful. And then lastly, maybe for Andy, I think this was just kind of like a follow up on the costs, is there Andy anything that sticks out or anything that you think could be at the clear cost savings that you're targeting here at the remainder of this year or is it still going to take a little bit more of an evaluation to see if there's some costs that can be cut or saved here?
Andy Schmidt: Sure, so first of all, I'll put it this way, we already have a fair amount of savings that have been earned that are in the bank that are going to roll out here over the next couple of quarters, and that basically is backed in our cost of goods sold line. We have definitely more opportunity in that space, in terms of what we're doing, in terms of distribution, and basically shipping costs, et cetera, et cetera. We're just scratching the surface on that and so that's definitely an opportunity. And then when we look at operating expense, the key is going to be just a simplification of the business, just being a pure play now, not multiple businesses, condensing our number of locations for instance helps quite a bit. So, we're going to see that incrementally on the G&A line. And again, like I said, the company has gone through a lot of different transitions, including the ERP transition, so that's a won and done. So as we go forward with that, we start seeing the expense of that type of effort roll off. So there's a number of different areas where we expect to see efficiencies, and it will be incremental, but we'll see it on a consistent basis.
Anthony Vendetti: Okay, great, that's helpful. Thanks, I'll hop back in the queue. I appreciate it.
Operator: Thank you. At this time I'm showing no further questions. I'd like to hand the conference back over to, Ron Menezes for closing comments.
Ron Menezes: Thanks operator. I want to thank you all for joining us for our second quarter 2021 earnings call. In the coming months, we'll be participating in several conferences, virtual conferences, including Canaccord on August 25, Colliers 2021 Investor Conference on September 9, as well we are going to be attending the ASPS Meeting in Atlanta in late October. I hope to meet many of you in the upcoming meetings. I want to thank you and wish you a great evening.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone have a wonderful day.